Operator: Greetings and welcome to the Dorian LPG First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Additionally, a live audio webcast of today's conference call is available on Dorian LPG's website, which is www.dorianlpg.com. I would now like to turn the conference over to Ted Young, Chief Financial Officer. Thank you. Mr. Young, please go ahead.
Ted Young: Thank you, operator, good morning. Thank you all for joining us for our first quarter 2018 results conference call. With me today are John Hadjipateras, Chairman, President and CEO of Dorian LPG Limited; and John Lycouris, Chief Executive Officer of Dorian LPG USA. As a reminder, this conference call webcast and a replay of this call will be available through August 07, 2017. Many of our remarks today contain forward-looking statements based on current expectations. These statements may often be identified with words such as expect, anticipate, believe or similar indications of future expectations. Although we believe that such forward-looking statements are reasonable, we cannot assure you that any forward-looking statements will prove to be correct. These forward-looking statements are subject to known and unknown risks and uncertainties and other factors as well as general economic conditions. Should one or more of these risks or uncertainties materialize or should underlying assumptions or estimates prove to be incorrect, actual results may vary materially from those we express today. Additionally, let me refer you to our unaudited fiscal first quarter 2018 results filed this morning with the SEC on Form 10-Q, where you'll find risk factors that could cause actual results to differ materially from those forward-looking statements. With that, I'll turn over the call to John Hadjipateras.
John Hadjipateras: Thanks Ted. Good afternoon and thank you for joining us. After my introduction, Ted will review our financial year first quarter '18 financials and John Lycouris will update you on the broader market and operating environment. Finally, we'll take questions. Dorian owns 22 VLGCs and is the second largest operator of VLGCs in the world. With the Helios Pool, we've commercial control over 29 ships together with our partners at Phoenix Tankers a subsidiary of Mitsui O.S.K. Our commercial strategy reflects our long-held belief that we can best serve our customers by being able to offer ships through our London and Singapore themes on a worldwide basis to timely meet regional demand changes. We believe that our utilization rate underscores a benefit of this approach. During the last quarter, our spot fleet operated at 87.3 utilization, which was a satisfactory result in a challenging market. We also believe that a portfolio of time charters is important for both financial and commercial reasons. Financially, time charters give us guaranteed income through a market cycle and virtually a 100% utilization. Our quarterly fleet-wide utilization increases to 89.6% when considering our time charters. Commercially, we gain insight into the needs of our customers and can find additional opportunities to grow with them. We have elected to handle a technical management of our ships through our in-house operations in Athens. This approach is similarly rooted in our experience that our customers, many of whom represent the most technically sophisticated charters in the world are best served by organizations that have direct control over the day-to-day management of the vessels. Our technical management has proven to be a point of commercial differentiation in the marketplace. Beyond the core commercial and technical management functions, we place a high priority on financial flexibility. As previously announced, we proactively took steps to strengthen our balance sheet and improve our financial flexibility by entering an amendment to our 2015 debt facility and refinancing our facility with RBS. Ted will describe these actions in greater detail. A stronger balance sheet improves our position to participate in a continuing favorable development in the OPG market and our potential to take advantage of interesting market opportunities, the past 12 months being characterized by weakness in our segment because of the world fleet swelling 50% since 2014. The global demand for LPG continues its robust growth and LPG supply and export capacity are following positive trend. This is being facilitated by growth in export, import and processing infrastructure as well as an increasing supply of LPG from the U.S. market, making LPG a price-competitive product and a mature option within the country's energy portfolio. We continue to focus on our mission to provide safe, reliable and trouble-free transportation for our customers and on managing our costs. These are the pillars of our strategy by which we aim to create value for shareholders. Now I hand over to Ted who will discuss the financial results and other matters for the quarter.
Ted Young: Thanks John. The quarter's results reflect a general continuation of the environment that we experienced in the first calendar quarter of this year and steady execution within our operations. Before I move on to discuss the results for the quarter, I wish to remind you that we look at our business from a long-term perspective. As we reported a few weeks ago, we undertook two significant transactions to lower our cash breakeven levels. The refinancing with DNB of a loan previously financed by the Royal Bank of Scotland and an amendment of our 2015 facility. The combined effect of those financings was to reduce our cash breakeven levels to roughly $17,000 per day until December 2017, which enhances our financials flexibility if rates remain challenged. I'd like to turn now to our quarterly performance. For the quarter ended June 30, 2017, we reported total revenues of $41 million, representing net pool revenues from the Helios LPG Pool and charter hire revenue earned from our VLGCs. Our share of net pool revenues as defined in our filings for the quarter was $28.5 million. Time charter equivalent revenue days -- revenue per day across all of our VLGCs including those in the Helios Pool amounted to $22,735 per operating day, while our VLGCs employed in the Helios Pool on spot on COAs and under time charters of less than two years duration earned $19,859 per operating day for the quarter. Vessel operating expenses for the quarter were approximately $16.9 million or $8,434 per vessel per calendar day, which is how we define the calculation in our filings. For the comparable three-month period in 2016, our OpEx per day for our VLGCs was $8,040. The year-over-year increase of $394 per day on our VLGCs was related principally to additional required maintenance on vessels and service of more than one year. Certain spares and stores that were capitalized at delivery being replenished and expensed in the current period and general crew wage increases, coupled with selective short-term increases in crew compliments on certain vessels. Partially offsetting the increases was a reduction of insurance costs, reflecting a reduction in premiums. Our technical management platform continues to deliver operational excellence to our customers and cost efficiency to our shareholders. Total, general and administrative expenses were approximately $8.5 million for the quarter and excluding non-cash compensation expense amounted to $7 million. Stripping our $2.3 million of incentive compensation that is not in the quarter from the prior period last year, G&A was $4.7 million, which was roughly flat with last year's $4.6 million, reflecting our focus on cost management. Depreciation and amortization for the quarter totaled roughly $16.3 million and was primarily attributable to the depreciation of our operating vessels. Our reported interest and finance cost for the quarter was $7.5 million, which was comprised of interest expense on our debt amortization of financing costs and other financing expenses and compared to $7 million for the same period last year. The increase was due to a small increase in LIBOR and some modest additional cash and non-cash loan expense. The other piece of our cash interest expense both within realized loss on derivatives amounted to $0.6 million, a decrease of $1.7 million versus last year and mainly due to the prepayment of our interest swaps related to the RBS facility during the previous year as well as increases in floating LIBOR. We also had an unrealized loss of $2.4 million from the changes in the fair value of interest rate swaps related to the 2015 facility due to the decrease in forward LIBOR rates during the period. The unrealized loss in the derivatives amounted to $0.04 per share for the quarter, in addition, as a result of the refinancing of the RBS wanted a discount, we recognized a gain of $4.1 million during the quarter or approximately $0.08 per share. We currently have approximately 80% of the debt under our 2015 facility hedged, while the DNB bridge loan facility remains unhedged. The current weighted average LIBOR rate in the 2015 facility is approximately 1.51%, including the hedged portion and the weighted average margin is 2.14% for a total interest cost of 3.65%. The current interest rate in the DNB facility is 3.75%. Thus, on a weighted average basis between the two facilities, our total interest rate is less than 3.7%. Overall for the quarter, we reported a net loss of $6.7 million or a loss of $0.12 per share and an adjusted net loss of $8.4 million or $0.16 a share. Adjusted net income for the quarter ended -- sorry for the three months ended June 30, strips out the effects of the unrealized loss on derivatives of $2.4 million and the gain on early extinguishment of debt of $4.1 million. Our EBITDA as defined in our filings for the quarter was $17.5 and a we also repaid $24.8 million of bank debt under the 2015 debt facility, largely through -- entirely through a reduction of restricted cash and as we've noted before, we've fully repaid the RBS facility with proceeds from the bridge loan. Over the next quarters, we'll maintain our focus on maximizing our cash generation and evaluating refinancing alternatives for the DNB bridge loan in order to best positioned Dorian for continued success. With that, I'll pass it over to John Lycouris.
John Lycouris: Thank you, Ted. After reaching record levels during the first four months of 2017, U.S. LPG export cargoes in June and July have seen a number of cancellations or deferments. Steady domestic demand has kept U.S. propane prices firm and therefore price of product above levels conducive to the arbitrage trade. U.S. propane inventories have continued to build in recent weeks and may reach levels of 75 million [borrowers] by the end of September. The overall U.S. exports and the half year remain at similar levels to 2016 due to the canceled cargo volumes from the U.S. and driven by weaker Far East demand due to seasonal and high inventories. Indian LPG demand during the past calendar quarter has been adversely impacted by successive retail price hikes that caused serious onshore tank backups and congestion of vessels waiting as floating storage offshore. Several propane and butane cargos destined for India were sold by Saudi Aramco on spot basis pushing butane delivered price in Asia to single-digit premiums to propane. We expect that demand growth will recover during the third quarter 2017 when the monsoon season ends and government's limitation of a flat 5% GST tax becomes effective on July 1, which will provide a welcome boost to industrial users who were previously paying taxes of about 18% to 20%. The congestion experienced with Panama Canal transits coupled with steady decline in freight rates from the Houston Toshiba voyage has caused VLGCs to opt for the long route around the Cape of Good Hope thus creating more ton miles and global fleet utilization. The Eastern market may be moving in contango as more vessels are requested to slow steam and recent fixtures provide for storage options. A repeat of last year's VLGC floating stores fleet stationed at key location may once again become a reality and thus further reduce shipping length in the markets. The order book stands at about 11% of the VLGC fleet while the old VLGCs over 20 years old of age currently comprise 15% of the fleet. We have 13 vessels remaining to be delivered in 2017, five in 2018, eight in 2019 and two in 2020. We understand from broker sources that more than half of these vessels are already committed in charter employment. We maintain our thinking that stronger demolition prices and environmental regulations will make all the VLGC vessels more attractive demolition candidates and remove them from the fleet. We believe that 2018 will be more balanced in LPG supply and demand, which will help move markets to a normal territory and result in a modest weakening of product pricing, relative to crude, leading to a recovery in the petrochemical demand. We believe these developments continue to support LPG as a mainstream fuel and a feedstock to the global energy markets in the world economy. Thank you very much.
Operator: With the prepared remarks completed, we'll now open up the lines for questions. [Operator instructions] Our first question comes from the line of Noah Parquette with JPMorgan Chase and Company. Please proceed with your question.
Noah Parquette: Thank you. You talked a little bit about the arbitrage going away the LPG market and you mentioned stockpiles and high domestic prices. Can you talk a little bit about what we need to see for that arbitrage to come back the way more voyages again or is it simply a function of stockpiles as the demand grows in Far East? Just love your thoughts on it.
John Hadjipateras: Hi Noah. I think we're confident on the demand growth in the Far East, but the problem has been in the U.S., the price has been resilient as you know. The arbitrage has already opened up as we speak and we can give you a little more on this if you -- John Lycouris, would you like to give Noah a little more color on that?
John Lycouris: Sure. Noah, the first part of your question is what you're saying what needs to be done is perhaps the pricing in the U.S. should become a little bit more competitive or attractive. We've seen the price in the U.S. at higher levels recently following the crude oil pricing and it's considered a bit high and yes, it is as you mentioned a part of the inventory situation in the U.S. which has not been building as fast as one had expected, but we still think that we're on track for probably getting to these 75 million barrels of inventory, propane inventory by the end of September and I believe that we're going that way
Noah Parquette: Okay. That's very helpful and then just one more question on the Panama Canal, you talked about more going the long way, how much legal room do we have there you think? Is this spot rates just going to creep up a little bit and we'll see it again or do we have a lot of room?
John Hadjipateras: John, do you want to have a go at that? Very difficult question because you're asking for a precision, which is almost impossible in the short term?
Noah Parquette: Apologize. Whatever your thoughts there will be helpful.
John Hadjipateras: Also, I am told already that my information about the arb being open that is as of Friday and as of this morning, the arb is closed. So, you see, it is a very fluid situation. It's very difficult from one moment to the other and especially to make short-term and even quarterly and six-monthly prediction.
Noah Parquette: Yeah, I guess it's just like if you can isolate and I know they’ve increased the toll fees this season. If you can isolate why you think they’ve changed and what's the most important thing to look out for?
John Hadjipateras: John, do you want to…
John Lycouris: I believe the congestion, yes, I believe the congestion in the Panama Canal has caused a bit of a slowdown in trade going through, also the fact that we have seen less demand, a lot of canceled cargoes has caused that. And finally, the last thing that you should consider Noah is when somebody discharges a cargo out in the Far East and there's no slot to bring their ship back because Panama Canal is all tied up and it's booked all the way into January and February next year, they will not balance through. So, you will see less and less LPG shifts going through the Panama Canal because of congestion in bookings and traffic for LPG vessels. I think that's probably one of the reasons. The second thing is what we're going to see is the hike in LPG rate sorry, in the Panama Canal tolls that will affect also LPG trade through the Panama Canal and will make the arb that we had up to now going through the Panama Canal less and less attractive.
Noah Parquette: Okay. That's perfect. Thank you.
Operator: [Operator instructions] Our next question comes from the line of Spiro Dounis with UBS Securities. Please proceed with your question.
Spiro Dounis: Hey. Good morning, gentlemen. How are you?
John Hadjipateras: Hi Spiro. We're very fine and you?
Spiro Dounis: Good. Not bad. Yeah just wondering since Noah has asked this question, has the arb opened backed up again in the last few minutes?
John Hadjipateras: We'll let you know by the end of the phone call.
Spiro Dounis: Okay. All right. Good. No, first question just really around liquidity and the proactive steps you guys have been taking, just great to see the cash breakeven come down. I know you hate to talk at [levels] it's never fun, but just as we think through other measures to the extent you need to take them down the road beyond the debt itself, what else is maybe in your toolkit to bring up liquidity? Obviously, equity issuance is on there, but sale leasebacks or anything we're not thinking about?
John Hadjipateras: Ted will tell you. We're thinking about everything and have been, but I don't think give or well, there's nothing right now that we can report, but Ted can give you an overall view because clearly, we'll have to refinance the DNB by June. So, we've got by looking at options there. Ted.
Ted Young: I think Spiro, you ran through the corporate finance toolkit pretty well. I'd say to John's point and I think we touched on it in our remarks, but the DNB bridge loan, while it does have plenty of time left to run, given the fact the interest rate kicks off, we sure act like to get it financed out while we're still paying out plus 250, not like hick ups. So, we're actively looking at alternatives there. For shipping companies of our size, you've got like you said, sale leasebacks. You got traditional bank debt. You've got the Nordic bond market and equity in may be different, a couple of different players of equity, but suffice to say we're considering all those for us to trade-off on any debt instrument doesn’t really need our corporate finance objectives being cost-effective and not overly changing the risk balance of our balance sheet. From an equity perspective, equity is deer. We're very careful about raising it, deploying it and those sorts of things. So, I know absolutely I think you nailed the list. Those are the things we're always thinking about and we'll continue to do so and make sure that whatever solution we come up with makes sense for our investors and for overall risk profile.
Spiro Dounis: Got you. And then just a point of clarification on the bridge loan. It sounds like the margin just increases over time. There is no ammunition related to that bridge, right?
Ted Young: That is correct. There is no amortization related to the bridge.
Spiro Dounis: Got you. And then second question just around utilization rates, I know earlier in the year and last year we were surprised that how strong industrywide utilization rates were just given that trade rates themselves were so low and I guess what surprises this quarter was utilization seem to take a bit of a dip down, which seasonally you wouldn't have expected but anecdotally based on and what you've described today is a lot of cargo cancellations, trying to make sense. So, I guess just curious as we head into the third quarter here, is that something that's more or less flat with second quarter or getting worse from calendar of course, just how you're thinking about utilization rates right here.
Ted Young: Again, it's difficult to make a precise prediction, but my -- and our commercial team's view on that is that we will be -- we should be improving and not I don't think it will be immediate, but I think the next quarter and by the end of the year, we should have improved utilization rates overall.
Spiro Dounis: Got it. Appreciate the color. Thanks guys.
John Hadjipateras: Thank you, Spiro.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Mr. John Hadjipateras for closing remarks.
John Hadjipateras: Well thanks for you dialed in, in a beautiful summer day here and I'd just like to reiterate that we soldier on. This is -- it's not fun to be recording loss even if it's a marginal loss, but we are confident in the industry. We're confident in our ability to take advantage of opportunities. We're dealing in a clean fuel with I think increasing opportunities for penetration in emerging markets like India and other places that we talked about. We have the wood chips and excellent operation, both in technical and commercial. So, we look forward to better days ahead. Another unsolicited remark I'd like to make is concerning the report today they -- probably most of you have seen that Vitol watered a couple of ships at Hyundai with options for three ships or two more and it's noteworthy from our point of view that they're following in the footsteps of what we did four years ago and they've chosen a very good shipyard as we did and they’ve ordered ships interestingly with scrubber if the report is correct, which again we have two ships with scrubber and a lot of our remaining new ships are scrubber ready to be fitted as a retrofit if that's called for and depending on how the cleaner missions develops scrubber versus clean fuel. So we're not -- we're not sure that we needed another order in the market but on the other hand, we're kind of happy to see a second trader and user really in a way of our shipping services come in and endorse the market the first being Petrobras earlier with two ships and also to see Vitol, which is one of the hardest counterparties when it comes to negotiating a fair freight rate, now we can see them on our side and hopefully a bit more sympathetic towards paying a freight rate that will give a fair return on capital investment. So happy rest of the summer everybody and that's it from Stanford.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.